Operator: Ladies and gentlemen, thank you for standing by, and welcome to the iHeartMedia Q2 2020 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] I would now like to hand the conference to your speaker today, Kareem Chin, Senior Vice President of Investor Relations. Thank you. Please go ahead, sir.
Kareem Chin: Good morning, everyone. Thank you for taking the time to join us on our second quarter 2020 earnings call. Joining me for today’s discussion are Bob Pittman, our Chairman and CEO; and Rich Bressler, the President, COO and CFO. At the conclusion of our prepared remarks, management will take your questions. Please note that in addition to our press release, we have an accompanying investor presentation that you can follow along with our remarks. Before we begin, let me quickly cover the Safe Harbor language on Slide 2. During this call, we will make forward-looking statements, including the current and expected impact of COVID-19 on the company’s liquidity, financial position and results of operations. These estimates are based on current expectations and assumptions that are subject to risks and uncertainties. Actual results could materially differ from these expectations and assumptions, and these risks and uncertainties are discussed in more detail in our filings with the SEC. In addition, as noted in our March 26, 2020 press release, due to the uncertainty surrounding the impact of COVID-19, we reiterate that the company will not be providing full year 2020 guidance on this call. During this call, we will refer to certain non-GAAP financial measures. Reconciliations between our GAAP and non-GAAP financial measures can be found in our earnings release or in the presentation available on our website. And now I’ll turn the call over to Bob.
Bob Pittman: Thanks, Kareem, and good morning, everybody. Thank you for joining our second quarter 2020 earnings conference call. The challenges that we and most of the world have faced since March due to COVID-19 were unprecedented and had a severe negative impact on our revenue through the sudden and dramatic decline in advertising demand in the quarter. Before Rich and I get into a discussion of the specifics of the second quarter and even into the just completed month of July, there are four points we want to highlight. First, broadcast radio remains the number one reach medium in the U.S. and our other audio platforms are also strong with consumers. By consumer reach, we’re the number one audio company in America by a wide margin. The consumer reach of broadcast radio during the pandemic lockdown still exceeds both TV and digital. The only direct measurement of our listening, the listening on our digital platforms, showed an overall increase year-over-year as well as an almost 20% increase on home CE devices, including smart TVs, gaming platforms and smart speakers. And our podcast listening was also up with a 62% increase in downloads year-over-year for Q2. We believe this resilience in radio listening is further proof that the consumer depends on radio in times of need for both the information and the companionship that’s at the core of the radio experience and is the inherent strength of broadcast radio as a consumer medium. And we believe the strength of our podcast listening is an indication that podcasting is providing a similar benefit and it’s an extension of the radio listing experience. So it’s no surprise that the two largest podcast publishers, iHeart and NPR, are both major broadcast radio companies, and we both have a 2:1 lead over the next largest publisher. Second, our revenue suffered with a big drop in April, but it’s been showing improvement in each successive month, including the just closed July. It’s still too early to predict the slope of the recovery with any certainty, but we’re confident we have ample liquidity even if the recoveries are slow and extending through 2021. Third, it’s worthwhile to note that our non-broadcast consumer and revenue platforms, networks, smart audio programmatic, digital and podcasting, the ones that have been the focus of our company’s efforts and investments, had meaningfully better revenue performance than our broadcast revenue. We believe this is strong validation of our multi-platform strategy, investments and successes. Fourth and finally, we responded quickly to partially mitigate the impact of the sharp revenue declines, demonstrating flexibility even in our fixed cost structure. We have made deep cuts before the pandemic, deeper cuts at the beginning of the pandemic lockdown and even more after it became apparent this downturn was going to last longer than originally expected. Many of these are permanent cuts, and we’re evaluating additional permanent cuts based on how we expect to operate for the remainder of the pandemic and for our new normal thereafter. That includes an expected permanent reduction in real estate cost, a substantial reduction of travel and entertainment expenses, the elimination of the use of many outside consultants and the development of new technology-driven processes and operations to drive additional efficiencies. But before we get into more detail, I want to take just a moment to soothe our employees. This is a tough time for everybody, and our employees have risen to the occasion to keep the company moving forward during this period. They’ve never worked harder. They’ve never – they’re more creative and innovative. They’ve never had to adapt so quickly to a major disruption, in this case, moving from an office to working from home. Many of them have kids and have had to deal with issues like school and childcare and many other factors. But in spite of all that, they continue to make progress on key initiatives, to build out new ideas, to serve our communities and service our clients. It’s frustrating for them as it is for Rich and me and all of you who are stakeholders in this company because they don’t see this translate into financial success right now. However, as we look to the future, as we begin to see an upturn and look past this period, we know all the work they’re doing now is setting the stage for accelerated growth. And with that, I’d like to provide some real-time color around what we’re seeing in our business. The challenges we face from COVID-19 resulted in a decline in total company revenue of approximately 47% and an adjusted EBITDA loss of $29.3 million in the second quarter. As I said, we have seen sequential improvement in the rate of revenue declines of each month since April, the low point, all the way through July. And Q3 pacing is showing meaningful improvement over Q2. However, even as the revenue trajectory improves each month, the speed of the return in advertising revenue is still uncertain. So we’re prepared for a wide range of possibilities, even including a more drawn-out recovery scenario. And as Rich will discuss in detail, we have proactively taken steps to fortify our balance sheet and our liquidity. We placed a premium on having a resilient capital structure with ample liquidity. While this financial performance has been disappointing, there are some bright spots. As I mentioned earlier, our broadcast radio business was most hard hit with COVID, with year-over-year revenue down 57% in the quarter. However, the other areas that we’ve chosen for strategic investments to drive growth, diversify our revenue base and give us a multi-platform offering, networks, smart audio programmatic, digital and podcasting, are proving to be the right ones. In contrast to broadcast, networks is down 38.4%; smart audio down 28%; and digital is up 2.4%, driven by podcasting, which is up over 100%. And our relationship with consumers is stronger than ever, both because of our deep connection to the communities we serve and because we have prioritized being everywhere consumers want to find us with the products and services they expect. Today, in addition to our AM/FM platforms, consumers can find us on over 2,000 devices and 250 platforms, from PCs and smartphones to smart speakers like Alexa and Google Home, smart TVs, Sonos, Roku, gaming consoles and even Apple TV. And we were the first streaming audio service on the Comcast Xfinity X1 box. Our leadership position on devices has ensured that we have more touch points than ever with the consumers since they shifted their lives more into the home in late March, giving us a uniquely strong position to participate in this increase at-home listening. From a consumer engagement perspective, since the pandemic began, listening on the web is up 19%; gaming consoles up 25%; and smart TV are up 13%. Even in July, as things showed signs of returning closer to normal, digital listening on home devices is still up. And our hope and expectation is that after patterns go back to pre-COVID levels, we’ll continue to benefit in home from consumers having to learn to find and use our products on additional in-home devices. Our strongest-performing new business is podcasting. And we have built iHeart into the number one commercial podcast publisher with a goal of leadership in listeners, revenue and earnings. And that strength in podcasting highlights how the decisions we have made are paying off. Today, iHeart is the number one commercial podcast company in America. And our podcast division, which is part of our digital business, continues to grow at a rapid pace with revenue outstripping even audience growth. With almost 500 premium titles and 225 million downloads a month, we partnered with the very best creators in the world, distribute their content to the largest audience as possible, backed up by the massive marketing power of our broadcast radio assets, which gives us a huge amplifier for every new podcast title we release, and then we monetize it in the hands of the largest and best audio sales team in America. And as you try and understand the disparate podcasting models, let me explain our view of the current landscape. There are really two different approaches out there: One, paywalling exclusive content on a single app. Good for the app, not good with the listeners because they now have to pay for content that was previously free. Not good for creators because their audience and impact will be small, and not good for sponsors because there is insufficient scale in exclusive distribution. Ours is the opposite model and, we think, better model. Wide distribution, so listeners find the content they want, where they want. Creators build the largest audience size possible, and sponsors can scale their messages across these large audiences. Looking at the listing as measured by Podtrac and the associated revenue and earnings, the latter strategy is working. And we have yet to see an example of success anyone has had with the paywalling strategy in podcasting. As I mentioned earlier, our new platforms we’ve built and invested in have performed better than our broadcast platform, validating our multi-platform strategy. We even reimagined our events business. Even though it’s down dramatically overall, we’ve been able to build successful virtual events, including the iHeartRadio Living Room Concert For America on Fox hosted by Elton John, Wednesday night living room concerts with State Farm and Commencement: Speeches For The Class Of 2020, which were delivered on both podcasting and over our 850 radio stations nationwide. This has allowed us to generate sponsorship revenue even though we had to forgo the lower margin ticketing revenue from physical events. As a company, we innovate. And in times like this, we can’t forget that we must continue to follow the consumer and build products and services that keep us in the forefront of media. To that point, we’ve not only made significant investments in our podcasting business, which has seen record growth, we’ve also seen the same with our iHeartRadio app and even developed an entirely new broadcast and digital network, BIN: Black Information Network, which is the first and only 24/7 national and local all-news audio service dedicated to providing a trusted source of continual news coverage with a black voice and perspective and is focused on service to the black community and providing an information window for those outside the community to help foster communication, accountability and a deeper understanding. All of this is enabled by the fact that we have a reach larger than any other media company in America. We are the number one audio company in America by reach, and we also have leading engagement as well. In fact, our listeners spend 30 minutes a day with us, more than Google at 27 minutes per day and Facebook at 18 minutes per day. We serve our communities first and foremost. And from that, we derive our power. We track consumer sentiment on a continuing basis, which allows us to respond quickly to any sudden change. For example, during the protest in support of racial and social justice and communities across America, we responded quickly as a company to foster understanding that our personality is taking a leading role in the discussions so critical to bringing the country together. Over time, being there for consumers, communities and society make us even more important to consumers going forward. As we navigate the financial impact that the pandemic has had on our business, we’re working hard to make sure iHeart is positioned to capitalize on the ongoing recovery in the ad market. Even though we’re already taking $250 million out of operating expenses in 2020 with further savings from variable cost, we’re taking a hard and fresh look at our cost structure to understand what we’ve learned from this period. They can have a positive and lasting impact on the cost structure of our company, from the utilization of real estate to our adoption of technology to provide us with more efficiency and effectiveness in our operations. This will give us an even stronger operating margin profile as the economy recovers. This crisis has challenged us to think opportunistically about our operations, and there will be more to come on this front as we develop new ideas and practices. Rich will take you through the details of our Q2 performance, but I wanted to leave you with these points: We wish we had better news on the financial front. But we are encouraged that revenue is improving sequentially and expect that trend to continue into the fall and the end of the year. The downturn has been a little longer and the pandemic has been a little more persistent than most predicted. And although it’s been hard, we are seeing a more normal advertising demand start to come back. The current dislocation between our listening and revenue is a temporary state as we know eventually advertising reflects consumer usage and demand, and we do have strong consumer demand. We continue to be very disciplined about spending and continuing to reduce costs to mitigate as much of the revenue impact as we can. And finally, we remain extremely focused on making sure that we have ample liquidity to not only ride out this downturn but to continue to fuel the higher growth parts of our business. And with that, I’ll turn it over to Rich.
Rich Bressler: Thanks, Bob. As you’re all aware, our second quarter results reflect a severe impact that COVID has had on advertising demand. The pandemic caused a significant economic downturn, which in April, resulted in the steepest year-over-year revenue declines we have witnessed, with modest sequential improvement in each of the months that followed as reopenings in certain markets were delayed due to resurgent COVID cases and protests related to civil unrest in many parts of the country. As we look ahead, it’s important to remember the power of audio before COVID began, when we were in a healthy business environment. That power translated into the strong financial results that we saw in our business after we emerged from our restructuring in May of last year, all the way through February of this year before our momentum was interrupted. And while we can’t predict how fast or what shape the economic return will take, we know that it will come back from this period of dislocation. And we have to have the right set of products and services in place, and the users of those services to take full advantage and benefit from it in ways that we were prepared to in the past. As Bob mentioned, our strategy over the last several years has been focused on developing and investing in our multiple platforms, sales infrastructure and data and analytics capabilities to continually strengthen our position as the number one audio company in the United States by reach. We believe that the diversified offering we have today, combined with our focus on cost and capital structure management, enables our business to be more resilient during this downturn and positions us favorably to capitalize on the continuing advertising recovery. In terms of our second quarter results, if you turn to Slide 6 of our investor deck, on a reported basis, our consolidated revenue decreased by 46.6% over the prior year period. Direct operating expenses decreased 15.9% driven primarily by cost reductions associated with our modernization initiatives as well as those taken in response to COVID-19. In addition, variable operating expenses, including music license and performance royalty fees, decreased in relation to lower revenue recognized during the period. Variable expenses related to events also decreased as a result of the postponement or cancellation of physical events. SG&A decreased 19% driven by cost reduction initiatives along with lower sales commissions, which were impacted by the decrease in revenue. Trade and barter expenses also decreased. The decrease in SG&A expenses was partially offset by higher bad debt expense. Corporate expenses decreased 36.1% during the second quarter compared to the prior year quarter as a result of lower employee compensation, including variable incentive expenses and employee benefits resulting from expense reduction initiatives. Our GAAP operating loss of $159.1 million for the second quarter compared to the GAAP operating income of $181.6 million in the prior year quarter as well as the year-over-year decline in adjusted EBITDA from $262.9 million to a loss of $29.3 million were driven by lower revenue. Turning to Slide 8. I will provide additional color on the performance of our revenue streams. In our broadcast business, revenue declined by 56.5% on a reported basis, while networks declined by 38.4% year-over-year. Our digital revenue stream grew by 2.4% driven by continued growth in podcasting, which increased 102.7% year-over-year. Audio and media services declined by 32.9% on a reported basis and by 36.3%, excluding the impact of political revenue. Sponsorship and event revenues decreased by $27.6 million compared to the prior year period primarily as a result of the postponement or cancellation of physical events. Turning back to our consolidated results and looking at the items below the line. Interest expense increased $12.7 million compared to the same period of 2019 as a result of the interest incurred on our new debt issued upon our emergence from Chapter 11 on May 1, 2019. On Slide 11, there is a summary of our balance sheet. At quarter end, we had approximately $5.3 billion of net debt outstanding, which includes a cash balance of approximately $517.7 million. Despite what has been the most challenging quarter we could imagine, our free cash flow used in continuing operations was only a negative $6.5 million. As a reminder, we took early actions to focus on aggressive cost management and maximizing liquidity to be prepared for a potential protracted recovery. And in a quarter like this, the fact that we used only $6.5 million is one more proof point of our company’s strong free cash flow characteristics. As Bob noted, we continue to focus on maximizing liquidity and strengthening our capital structure during this period of uncertainty. In July, we completed an amendment to our credit facility to issue $450 million of incremental term loan. The proceeds we used to repay the remaining balance outstanding under our ABL facility of $235 million with the balance going to cash on our balance sheet. Adjusted for that amendment, our cash balance as of June 30, 2020, was approximately $708 million. And following the repayment of the balance on our ABL facility, we had total available liquidity of approximately $868 million. As a reminder, the terms of our debt structure include no material maintenance covenants and there are no material debt maturities prior to 2026, providing significant structural resilience in the current uncertain macro environment. As we look forward to the rest of 2020, we expect that revenue will remain challenged given the impact that COVID-19 continues to have on the macroeconomic and advertising environment. However, we are cautiously optimistic, and we have seen an improvement in the rate of year-over-year revenue declines in each month since the 50% decline in April, with May, June and July declining 49%, 41% and 27%, respectively. While we will not be providing pacing for Q3 or full year guidance, we can tell you that Q3 is shaping up to be materially better than Q2 and remind you that the bulk of political advertising is placed in Q3 and Q4. I also want to provide an update on the modernization and cost-saving initiatives that we announced earlier in the year. Together, these initiatives remain on track to deliver the expected $250 million of expense savings in 2020. As we have said previously, we expect our modernization initiatives to deliver $100 million of annualized run rate savings by mid-2021. In addition to those savings, we are continuing to evaluate our cost structure to identify efficiencies of lasting benefits to the company and will drive stronger margin growth as the economy recovers. Our areas of focus will include continued optimization of our real estate footprint and the adoption of technology solutions that will drive increased efficiency and effectiveness in our operations. We will provide more details on that amount and timing of those savings later in the year. Our full year capital expenditures guidance remains unchanged at approximately $75 million to $95 million. And we continue to expect minimal cash taxes as certain provisions of the CARES Act should partially offset the negative impact that COVID-19 is having on our 2020 free cash flow. As a reminder, the provisions of the act that pertain to us result in our ability to deduct 100% of our 2020 interest expense as well as a portion of interest from prior years that was disallowed and the deferral and potential avoidance due to certain credits we may qualify for of 2020 payroll tax payments. In wrapping up, we believe that our previously announced modernization initiatives and cost-saving actions, in combination with our resilient capital structure, will provide us both financial flexibility and ample liquidity to operate effectively even in an extended period of economic weakness. While we cannot predict the shape or timing of the recovery in advertising demand, we are confident in our ability to drive shareholder value through operational discipline and continued investment in the areas of our businesses that will position us for growth as advertising demand continues to return. And again, we would like to thank our employees who have been committed to serving our listeners, our communities and our business partners during this challenging time. We appreciate you all joining our second quarter earnings call. And we will now turn it over to the operator to take your questions. Thank you.
Operator: [Operator Instructions] Our first question comes from Steven Cahall of Wells Fargo. Your line is open.
Steven Cahall: Thanks. Rich, a couple for you. And then Bob, I’ve got a podcasting question. Rich, maybe just how should we think about being EBITDA or free cash flow positive in the second half of the year based on all the proactive cost reductions that you’ve taken, which I think you probably didn’t get a lot of the benefits of in the second quarter? And maybe included in that, can you give us an indication as to what you think the cash interest is going to look like in the back half of the year?
Rich Bressler: Sure. Thanks, Steven. Good morning, everybody. So just got a couple of things. I’m not going to make any specific comments about cash flow for the second half of the year because I think that would be tantamount to giving guidance, quite frankly, out there. But if you kind of think about – and I think what’s really great about this business – and when Bob articulated in his opening remarks the business, what’s happening on an operating basis, I don’t think any of us should lose sight of the fact that the cash flow characteristics that this business has. If you look at Q2, we – and again, none of us are happy with these results, but there’s a reality of operating in the pandemic. While we declined 47% on revenue, our EBITDA was down a little over $260 million or $270 million for Q2, so significantly less in revenue. But I think what points to the cash flow part of the business is we only used – and I don’t ever want to use a dollar of cash, but we only used $6.77 million on free cash flow, which I think is a pretty good free cash flow performance considering the headwinds we have on revenue. So I would just point to that without giving any specific guidance for the rest of the year and the fact that we’re continuing to aggressively manage capital expenditures. As we reiterated, our guidance is of $75 million to $95 million, the low working capital. And again, the fact that we effectively have zero cash taxes this year, the largest part of which is driven by the cash tax savings for interest deductions that we get as a result of the CARES Act and also our ability to defer employee taxes for – employee taxes also as a result of the CARES Act.
Steven Cahall: And cash interest?
Rich Bressler: Well, look, our weighted average cost of debt at June 30, so I think you guys can compute, this is about 5.3% overall. And so I would just – we’ve got about $5.8 billion of total debt. I think if you go to Page 11 of the investor deck, we break it down kind of piece by piece. And I think you guys can look through that and compute the number there.
Steven Cahall: Great. And then on capital structure, I mean we’ve seen some peers that have been impacted by COVID look at sort of strategic partners for preferred types of investments. You guys have a lot of liquidity runway. So I’m just wondering how you think about the capital structure and whether you think this is an opportune time to sort of talk to strategic partners for anything like that. Or do you just really like the liquidity runway that you have?
Rich Bressler: Well, taking the last part of your question first. I think we’ve done a nice job in terms of the cap structure liquidity runway. And I think in our opening remarks, Bob and I pointed out that whatever your time period of the recovery, whatever your time period of the acceleration, of the return of advertising, whether that’s the end of this year or 2021, we’ve got a capital structure that’s built to endure those periods of time. And again, I won’t repeat myself, but I think the second quarter is just very instructive in a positive way about the free cash flow and our ability to continue to weather any downturn here in the capital structure there. We – Bob, myself, the rest of the management team, our Board of Directors, we have one objective here, which is to drive the value for stakeholders. It’s to drive the equity value of this company. So we continue to evaluate it. But again, we have the benefit of having a capital structure and a liquidity position, Steve, as you pointed out, that we don’t need to do anything unless we think it’s going to be value-accretive for our stakeholders.
Steven Cahall: Yes, thanks. And then maybe just, Bob, one on podcasting. I feel like we’d be remiss not to maybe just talk about the competitive dynamics with Spotify. How do you think about that relationship? Would you sell them exclusive content at the right price? Will you continue to make your content available on all platforms, including Spotify? How do we just think about those competitive dynamics? Thanks.
Bob Pittman: Yes. Look, I’ve mentioned in mind there are really two models for podcasting. Ours is a distributed content model. We want our content available anywhere a consumer might be to make it easy for them to consume it. We would not sell our products exclusively. We think it – one, it limits the size of the audience. And for creators, I mean most creators want to create a hit podcast. I guess there’s some amount of money at which they said they’d rather have the money than create a hit podcast. But I think that’s the goal. And I think when you – and so therefore, as you attract more creators, the more – the bigger the audience you can offer them. And I think the other avenue is that advertisers, if you’re advertiser-supported, really demand the biggest audience possible. If you go behind the paywall, I certainly – you can justify it as you’re going to help build some other service, but we’ve yet to see success with that anywhere. So I think we like the strategy we have. We’re really pleased with the growth we’ve had on podcasting. If you think about it, way back when we were about 5 million of unique users, Stuff Media was about 5 million, we acquired them. So combined, we have about 10 million. We’ve more than doubled that. So we’ve not bought our way to the audience size we have. We built most of it. And I think that was our goal is to build this platform that can create hit podcast after hit podcast. And of course, one of our not-so-secret weapons is that we’re able to use all of our broadcasting reach to build podcast, and we’ve had great success with that and continue to use that in new and innovative ways. So we like the model. We think we’re in the right place with the right model. We’re certainly with the only model that’s proven it can generate real profits and real growth. So we’re sticking with it, and as you could tell, driving forward with it quite aggressively.
Steven Cahall: Great, thank you.
Operator: Our next question comes from Zack Silver of B. Riley. Your line is open.
Zack Silver: Hi, great. Thanks for taking the question. The first one, I know you said that you were not going to talk about forward guidance, but you did give the revenue for July, how that was pacing. And I just wanted to first ask if you could point specifically to what’s driving the recovery, both in terms of the revenue lines and the advertiser categories.
Bob Pittman: I – well, I’ll let Rich jump in on that. But I think we’re seeing there is some demand. Some return in advertising demand, I think, is the primary driver of it. I think when the pandemic began, we saw advertisers, they could – just pulled all the chips off the table and said, "Let’s wait and see what’s happening." I think they’re beginning to just get a flavor of where it’s going, what’s working, what’s not, where they want to invest, how they want to build their business back. One of, I think, the encouraging things is that almost every business now has to think about reopening or at least selling themselves again to the consumer. And radio has historically been the place that people have used for any opening, grand opening, reopening, because we do get the word out quickly. We have the number one reach. If you think about what radio is, it’s your companion telling you what’s going on in the world on a continuing basis and obviously a business offering a new service per pickup. We’ve opened our doors again. We’ve got a new service for you. The brands redefined is the perfect place to get that into the consumer’s mind. So we think that radio will be a beneficiary of this. And we think that’s probably behind the return in the advertising demand we’ve seen so far, and our expectations will continue. Now I think we’ve also built out capabilities that allow us to match what the advertiser needs. We didn’t get into it in the call but we have in previous calls that we’ve really built out our data capabilities, our analytics capabilities, so that we begin to look more like the capabilities offered by the major – and the digital giants, the major digital players. We think that allows us to even be attractive to people who say, "I’m looking for the analytical approach to advertising, the performance advertising." And now we have those capabilities. We continue to build them out even during this pandemic. And we have been able to even push those kinds of capabilities over into our podcasting as well, which I think puts us in a unique position. Richard, do you want to add something?
Rich Bressler: Yes. And Bob, just to – Zack, thanks for the question again, and just to add on to that just for a minute. Overall, and this won’t surprise you, a couple of simple statements and then a couple – give you a little more detail on categories. Placements are increasing, quite frankly, and cancellations are decreasing, and we’ve seen that since the start of the pandemic. In the beginning of the pandemic, clearly, national for us took a bigger hit, and we’ve seen that start to reverse itself. And I think this goes to Bob’s point. As bigger advertisers, bigger brands are coming back into the marketplace, it’s been interesting. And I’m sure we’ve all read the same things, but whether it’s today or over the last couple of days, the number of articles, particularly in the Wall Street Journal, that have talked about CEOs that just said, "Okay. We’re going to be in this operating environment for a while. So we need to learn how to run our companies in this operating environment." And we’re starting to see some of that come into the marketplace. And you see that in numbers and the trends that we just gave. And if you look at specific categories that have done better than others, it’s probably the right way to say it. Things – I don’t think any of these will surprise anybody on the call. Categories like CPG, consumer product group, home improvement, insurance, financial services, medical health care, those have clearly been categories that have done better than categories like entertainment, which has been a nice category for us of the years. Although having said that, we’ve done very well with the streaming services, whether it’s the Netflix, the HBO Max, the new NBC service out there, Amazon along the way. So again, we do have some bright spots out there. And all of those take advantage of the new capabilities that Bob touched upon in terms of our data-infused offering. And clearly, podcasting, as we’ve just touched upon also on the first question, continue to lead the pack, not just for us but, quite frankly, I think in all medium – all media-related businesses today.
Bob Pittman: Can I add one more thing? I also think that as you’re analyzing what’s going on in the advertising world, we see two trends that are emerging. One, either the advertiser wants a big idea, and we’re doing a lot more brainstorming with CMOs and marketing departments about new approaches, new ideas, new things they need to do that are very specific to their situation, sort of think about it as custom solutions. And fortunately, we built out that kind of marketing support and ideation capability in our company over the past four or five years. And the other side of it is, and they’re looking for or they’re looking for performance. I’m going to spend a dollar. I need to maximize the value of that dollar like I never had before. Clearly, the smart audio capabilities we have with the data analytics help enormously there. And also, we hate to say it, but it is an advantage for the advertiser is that if you think about radio and TV historically, they both deliver about the same impact at the same weight level. However, radio is about 1/3 the price of TV per person reach. So if people are looking for efficiency, again, radio has a real advantage there. And finally, I think as you think about reach in the old days – 5, 10 years ago, TV was the big reach medium. Today, radio is the big reach medium. And so anybody that’s putting together a campaign that has gone quiet or has been working segments instead of the mass realizes right now, they got to tell everybody something. And again, that reach becomes probably more important now than it has in recent times.
Zack Silver: Got it. That’s helpful. And then one more if I could, just around sort of the strategy of – clearly, there’s good demand for advertising on podcasts. And one of the things that you guys have talked about before is using podcast to get more advertisers involved in broadcast radio. Just wondering if you can talk about how the current state of affairs may have impacted that strategy, and maybe what the attach rates on advertisers using podcasts are also coming in to use broadcast buys and some other that.
Bob Pittman: We haven’t announced anything like that, so I don’t want to get into that specific information. But I will tell you that I think that they continue – that people are interested in podcasting. They certainly should be interested in radio because, to us, it winds up being sort of the same thing. I think it’s no accident that NPR and iHeart go back and forth as to who’s number one overall and that we have a 2:1 lead over the next largest podcaster because it is, to me, the equivalent of radio on demand, and it’s very much the radio form. We find that in successful podcasts, it’s very host driven just like radio, that people want that companionship. They sort of like somebody keeping them company. They like the conversation even – it’s like telling them a story. They like hearing that voice. So we sort of treat podcasting and radio as one experience expressed at a slightly different way. And I think being able to not only do that creatively for the consumer but being able to do that for the advertiser is really a unique advantage that our company provides. And we are finding people, they either directly want to say, "Okay. Let’s do a campaign that’s all tied together. We’re doing this on broadcast, this on podcast, this on digital. We’re using smart audio here," and they’re using all of our capabilities, or as you correctly point out, for some people who sort of weren’t so interested in radio, they are interested in podcasting. And it’s the door for them to come into the company. Once they come into the company, we can expose them to the other assets we have, which can help drive their ideas. And we’ve had a number of successes there and really expect that to continue.
Zack Silver: Got it. Thank you, both.
Rich Bressler: Thanks, Zack.
Operator: Your next question comes from Sebastiano Petti of JPMorgan. Your line is open.
Sebastiano Petti: Hi, thanks. Rich, you touched upon the decline in EBITDA on a dollar basis coming in a little bit better than the revenue decline, which demonstrates a lot of the cost savings initiatives that you have in place. Wanted to see if you can give us an update towards the $200 million run rate savings by the end of the year. Where are you on that today? And should we expect the decline in EBITDA to continue to narrow relative to revenue as we go through the rest of the year just given, I guess, some of the initiatives were kind of launched in 2Q?
Rich Bressler: Sure. Thanks, Sebastian. Look, again, just going back, I’m not going to – I think going to any detail on that would be tantamount to giving guidance, so I’m not going to do that. The only thing I will comment is we are and continue to be on track for our cost savings initiatives. And I think in Bob’s opening remarks, he talked about the $250 million number, which was $50 million, just to remind everybody, for the modernization efforts that we announced in the first quarter of this year. And just again, as a reminder, it’s in the press release, that is $100 million on an annual basis by the time you get to mid-2021 of $50 million this year and an additional $200 million that we articulated related to everything happening as a result of the virus and continue to be on track with that. Having said that, and I think Bob talked about this a little bit and touched upon in his opening remarks, we are taking a step back. And by the way, I’m sure like a lot of companies in America, and doing exactly what we’re supposed to be doing as people running this company: looking at our organization; looking at things like real estate, which is a significant cost in this company. That we’re already taking a hard look at real estate is also the modernization. We’re obviously taking a much harder look at it right now, just the realities of the way people are working, whether it’s Teams or Zooms or it’s all looking to work more remotely. T&E was not an insignificant expense for this company. We never disclosed exactly what it was. Clearly, we never expect T&E to come back anywhere near the levels that it was pre-pandemic. So just looking at the way people are doing business differently that we talked about, look at the way that we need to do business differently, look at the size of the company to support the infrastructure side of the company, to support the revenue side of the company. And how do we just become more efficient? And what have we learned during this period of time? It’s pretty interesting when you’ve got a company that’s across the United States, and we’re now in 150 offices and we have this, Bob and I both talked about, just phenomenal employee base that has really gone the extra mile during this period. Well, what have we all learned? Not just Bob and me but the entire company, our entire employee base. And how do we just operate more efficiently, drive new revenue, have product innovation like Black Information Network, which we’re so proud of, that was innovative and incubated during this period of time and bring more down to the bottom line and improve our operating margins, improve our operating efficiency and still deliver a great experience to our advertisers? And I would say on the one – a little more specific around the timing of savings. They’re probably a little more weighted to the second half of this year as you think they’d be, based on the time we implemented them and just the rhythm of our business than the first half of the year.
Bob Pittman: Could I have add one thing on that, Rich? Just to put a point on it, too. As managers, to be a great manager, I think you constantly have to experiment. You constantly have to change and move and find new ways to do things. This – as awful as this has been for our business, the one thing it’s done for us as managers, it’s allowed us to look hard at some different ways of doing business. And for example, there’s no way we would have ever taken the chance of saying, "Hey, let’s experiment by working from home for three months and put the whole company there to see what the impact is." But now that we’ve done it, we’ve been able to examine productivity by each group, by each employee. We’ve asked our employees what works better, what works – what’s worse. And we’ve been able from that to figure out some new ways of working, which I think will improve the company that we would have never known and never been able to reasonably test except through some disaster like this. So Rich and I are spending an enormous amount of our time with our management team, really examining everything we’re learning about how we operate and how we can operate better going forward. And I will tell you I was not a fan of a work-from-home company at all, but I’ve realized that there are some people in our company who can work as productively or more productively from home, and it has very beneficial financial impacts for us. So we’re examining everything. And again, it’s been one giant experiment, the positive side of it. And we have not wanted that to go without us really examining and learning a lot from it, which we have.
Sebastiano Petti: That’s great. And one quick follow-up on the digital. Just if you could unpack perhaps some of the moving parts within the digital bucket? Obviously, podcasting up 103% year-over-year but a sequential deceleration just overall in the digital category. So how should we be thinking about total listening hours on the iHeart – on the app as well as maybe some of the other buckets within that? Thank you.
Bob Pittman: Rich, you want to start? Or you want me to...
Rich Bressler: Yes. Why not start with that? Why not start with that, Sebastian? So we do – Bob articulated the strength of our podcasting business. And we talked about this in the first quarter, we talked about it now and it continues, that revenue is up over 100%. We don’t give a lot of details in terms of digital, but you kind of unpack it a little bit. And if you pulled podcasting out of that, the overall digital would be down dramatically better than the rest of our line. So I would say down high single digits, about double digit, somewhere overall in that 10% but continue to improve significantly. So I think if you look at the overall digital line ex podcasting, and I don’t think this will be any surprise, it’s doing dramatically better than pretty much any other advertising business has done right now in the United States, again, put aside just Facebook and their announced earnings and Google and some of the smaller players out there. So we feel very good about that and continue to see momentum overall in that business.
Bob Pittman: Can I also say that we have a wide range of digital services, too, for anyone who follows the company. We not only have streaming through the iHeartRadio app but allowing the consumer to hear our radio stations on a digital platform. And by the way, when they’re listening to it, sort of crazy. But when they listen to it on the iHeartRadio app, it’s with exactly the same program as AM/FM. There are many people who will buy us now for digital and we’ve fallen into a digital bucket. Now we hope the smart audio over time begins to blur of that distinction as it should. We also provide other digital services for our clients and have a robust suite of services that we offer. We have big digital sites. If you look at comScore, you see we’re one of the major players there. There’s the Z100.com. There are all sorts of other services we provide from other vendors as well, some we own, some we don’t. So it’s – we’ve got a pretty diverse offering there. And they all have disparate growth rates during this pandemic.
Rich Bressler: But – and one, by the way, listening. I just – I would want to reiterate what Bob talked about upfront like in his opening remarks again just not to these factors. We answered financially. Bob talked about products. But if you look at the in-home listening, whether it’s web, Roku, Alexa, Google, all up, and I think Bob went through a number of the percentages, all up very significantly during this period of time. So again, a silver lining as you look for silver linings during the pandemic is the consumer habit – consumer habit of in-home listening. And we don’t have any reason to believe that, that won’t stay with us in some form as we exit the pandemic.
Bob Pittman: Yes. Let me go back to – I’m going to add one more thing. Go back to the basics. The more devices you can receive a service on, the more listening you’ll get. And so for us, the weakest place for us has been – over the past 10 years, has been the home because I think people have moved to more digital devices as opposed to a freestanding AM/FM radio. And so for us, what we’ve done rather than trying to get people to make more AM/FM radios is to say, "Fine. Our products are not limited to AM/FM. We’ll build the product." And we were, as you know, one of the foundation services on Alexa when it launched. We had worked with Amazon on the development of that. And we tend to be there early, whether it’s with Comcast on their box, whether it was Alexa, as we’ve got a group that continues to work on those new locations. So if we build out all these capabilities for all these new devices, we know over time, as those devices grow, it gives us more listening, so very positive for us.
Operator: Your final question comes from Jim Goss of Barrington Research. Your line is open.
Jim Goss: Thanks. iHeart has tended to have a different mix of radio revenues than the industry. Rather than 85-15, it might be more 60-40 in the split between national and local, or the other way around, the way I stated them. If you consider that, I imagine that traditional strength might have hurt you a little bit more in these last several months. And I wondered if you could go through those, the 50%, 49%, 41% decline, and talk about how that mix of revenue might have affected those, like which categories might have impacted what you’ve already reported.
Bob Pittman: We don’t do a lot of detail on that. We haven’t done the breakout side. I don’t want to do it here, but I think your point is correct that this company, one of the strengths we have is we’re actually the only company that delivers broadcast radio that has a real national reach. So they can – the advertisers can look at us not only for local but also as a national partner. And you’re correct, I think, as Rich pointed out earlier that we did see big advertisers had the luxury of these big dollars, just pull the chips off the table and hold it until they figure out what their new strategy is. And if any of you remember living through 9/11, which I do, is every advertiser pulled their dollars because they couldn’t figure out what message they should have in that new world. And it took them a little while to figure it out. I think the same happened here that for debt media or saving the money, they just couldn’t figure out what the creative message should be in this pandemic. Well, I think at this point, they have. And I think, of course, we had the double layer of the tragic death of George Floyd. And suddenly, advertisers again pulled back and said, "Wait a minute. What should my message be? And how should I communicate to the marketplace?" And so – but the good news is once they figure it out, and then they can turn the spigot back on. And as Rich pointed out to you, we are seeing that balance change a little bit. Initially, national hit harder than local. I’m beginning to see that more equalized.
Jim Goss: Okay. And the television broadcast, as we follow, you have been pointing out that they’ve been doing sequentially better as you have since bottoming in April. I wonder if that could accelerate your gains as you recapture some of the things you had lost. Is that a reasonable conclusion?
Bob Pittman: I think we’re at this point...
Jim Goss: Or at this reduced declines?
Bob Pittman: We’re reluctant to predict the slope and the recovery because what do we know in this world? But I think the trend lines would suggest that, but I’m just a little hesitant to be so certain. Rich, I don’t know if you have...
Rich Bressler: No. But the only thing I’d add to that, Bob, Jim, is just – the two things I would say on that is – and again, I’m sure the unemployment – the employment numbers, again, today, I think, looked a little better than most people’s expectations. So there are aspects of recovery there. But as things start to recover, they’re going to recover on – as we’ve talked about earlier in this call, they’re going to recover on a neighborhood-by-neighborhood or city-by-city or state-by-state basis. However, they’re going to recover, then all of a sudden – I think we can all agree on one thing: they’re not going to recover all of a sudden, snap your fingers and the whole country is going to recover at the same period of time. And if you think about just the ability to generate demand on a city-by-city basis or municipality-by-municipality basis, based on the facts and circumstances, there’s no better company in America that’s built for that. Our ability with our 850-plus radio stations in 150 markets to reach the local consumer with four advertisers that have messages that are tailored to them, important to them on a local basis. You could talk about TV broadcast. You could talk about the big digital players. No one else has that capability out there. And to be clear, we have that capability across the board, not just in our broadcast area. So we have the ability, as Bob has talked about a couple of times on the call. We talk about data-infused solutions and the ability to provide real-time solutions to advertisers. We can do that on a local basis also. These are just not national solutions. You talk about podcasting, and we always talk about our big national pods. We can provide local podcast and we do, which I don’t think people focus on enough that appeal to that local commuter, that local advertiser. So again, when you take a step back, I think an objective look at our asset base, an objective look at the way the economy is going to continue to come back, I don’t think there’s any company in America that’s more prepared to receive that advertising demand than we are.
Bob Pittman: And by the way, I would add one last point on that, which is that it’s not only they want to reach one market and not another market, but they might have one message they want for one market and another message for another market. And again, having – and the numbers actually, 160 markets we’re in, that we have feet on the street in those markets. They’re not affiliates. They’re our owned markets. So we have the capability to activate in the markets. We have an ability to do special creative for those markets. We’ve had some examples in the past where we’ve made hundreds of different commercials for one single advertiser because they wanted slightly different messaging in each market. We have the capability to do that. So it puts us in a unique position to be able to have both the national reach and the local capabilities as well. And we can even blend the two in ways and times like this that probably become more important than ever.
Jim Goss: Okay. And one other thing in terms of the analysis of your cost structure and expense structure. Are you – do you think you’re able, through this, to effectively lower the breakeven plan such that, say, a year ago, your adjusted EBITDA margin was 28.8% in the quarter as opposed to the loss you created this quarter. Is that a number that can go higher with the cost structure adjustments on the mix of revenue changes that are going on?
Rich Bressler: Look, again, Jim, we’re not going to go back. And I think that would be tantamount to giving guidance. And by the way, one thing I should say, clearly, Bob and I and the rest of the team, Mike McGuinness and everybody and Kareem, we have the same frustration as you. We’d love to, quite frankly, give you – we’d love to give you more information. We’d love to give you more detailed information. But for all the reasons I think everybody knows and understands, we haven’t provided guidance. So it’s much of a frustration on our standpoint as we know you guys have to go back and do your jobs and build models. But so it has been painful. But the one thing I would say without making any specific comment is our objective here – again, it’s great shareholder value. That’s going to include improving our operating margins. It’s going to – it’s absolutely going to include improving our operating leverage with the cost savings that we announced, and directionally, the cost savings that Bob and I have talked about, I think, at length on this call from a directional standpoint. But we’re not going to do any further than that today.
Jim Goss: And I mean the quarter, I was talking longer-term.
Rich Bressler: No. I think – so that’s what I’m saying, longer-term. We’re absolutely going to improve the operating margin of this company. It’s going to get better, but we’re not going to give guidance. And again, I think if you keep that focus, which we are on a great track. Just as a reminder, if you look at the track here alone, when we emerged from the restructuring for the second quarter of 2019 – I’m sorry, the second half of the Q2, Q3, Q4 2019, the beginning of 2020 before the pandemic hit, I think that’s very tangible evidence of the potential of this company and Bob and I as focused in terms of direction we’re going to take the capital structure and value creation.
Bob Pittman: And let me put a specific point out because I think your point is are these costs – are the cost savings here, they’re going to be permanent? The answer is yes. And some of what we’re discovering here, we’re never going to put back. I can’t imagine our real estate costs are ever going to be what they were. I know our T&E is not going to be what it was. I know we’re finding efficiencies and ways to do things we haven’t found before. So – and mathematically, you’re absolutely correct. If we lowered the cost bases for the company and we returned to the revenue levels we have before, mathematically, it will be a better margin.
Jim Goss: All right. Well, thanks very much.
Bob Pittman: Great, thank you.
Operator: That was our final question. I will now return the call to our presenters.
Rich Bressler: Well, it’s Rich. I just want to – on behalf of Bob and myself and, quite frankly, the entire employee base of iHeart, which has been with us every step of the way, really just thank everybody for your support. Thanks for taking the time today, both the questions and to listen to the iHeart story. And thank you in advance for your continued support.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.